Operator: Good day, ladies and gentlemen, and welcome to today’s Fourth Quarter 2011 ONEOK and ONEOK Partners Earnings Call. Please note today’s conference is being recorded. I’ll now turn the conference over to Mr. Dan Harrison. Please go ahead, sir.
Dan Harrison: Thank you, and good morning everyone. Thanks for joining us today. Just a reminder that statements made during this call that might include ONEOK or ONEOK Partners’ expectations or predictions should be considered forward-looking statements, and are covered by the Safe Harbor provision of the Securities Acts of 1933 and 1934. Please note that actual results could differ materially from those projected in any forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. And now, John Gibson, Chairman and CEO of ONEOK and ONEOK Partners. John?
John Gibson: Thanks, Dan. Good morning, and many thanks for joining us today. As always, we appreciate your continued investment and interest in ONEOK and ONEOK Partners. Joining me this morning are Rob Martinovich, our Chief Financial Officer, who will review our quarterly results and updated earnings guidance; Pierce Norton, our Chief Operating Officer, who will review the operating performance of ONEOK and ONEOK Partners’; and Terry Spencer, our President, who will review current market conditions, including our outlook on supply and demand for NGL, and the implications of lower commodity prices, followed by a status report on the ONEOK Partners’ growth projects. On this morning’s conference call, I will briefly review our fourth quarter and year-end 2011 results, provide some perspective on our revised 2012 guidance, and conclude with some comments about our current and future growth. Let’s start with ONEOK Partners fourth quarter and year-end performance. Both the year and the quarter were exceptional. Results were driven by wider NGL differentials, as well as higher volumes in our natural gas liquids, and our natural gas gathering and processing segments. Our growth projects are on time, and on budget, and we continue to increase volume commitments for these projects. Our Garden Creek natural gas processing plant in the Williston Basin is operational, allowing producers the ability to capture additional value, while reducing the amount of flaring occurring in the Bakken shale. Our natural gas distribution segment performed well in the quarter and for the full year. Net margins were essentially flat with operating income affected primarily by higher share-based compensation costs. You will recall that we award all full time employees with one share of stock each time the closing price reaches a new $1 high. In 2011, we awarded 31 shares of stock at a cost of $16 million. Since the natural gas distribution segment has largest number of employees, and the allocations of this cost are on a per employee basis, it incurred a large portion of that expense. We believe it is a small price to pay for outstanding share price appreciation in 2011. Our energy services segment continues to struggle as a result of challenging market conditions, narrow seasonal and location differentials, low natural gas prices and volatility, moderate weather conditions, and an oversupply of natural gas. While we have lowered our expectations for this business in 2012, we continue to reduce our leased storage and transportation capacity, and operating cost, but the fact remains it’s a very challenging market. We also updated our 2012 financial guidance, increasing our earnings expectation at ONEOK and ONEOK Partners’ and raising our dividend and distribution growth forecasts for the year. Rob will provide more detail in a few minutes. Our updated 2012 ONEOK Partners’ guidance includes higher natural gas liquids operating income than we originally forecast, $528 million today versus last fall of 2012 forecast of $395 million, but lower than the segments 2011 actual results. Our updated NGL segment guidance is the result of an expected increase in ethane differentials between the Mid-Continent and Gulf Coast, compared with what we assumed in our original 2012 guidance. However, we expect lower NGL optimization margins in 2012, as we continue to convert some capacity to firm fee-based contracts. In 2012, lower expected commodity prices will also impact the partnerships natural gathering and processing segment. We expect 2012 GMP segment results to be higher than 2011, but lower than we originally forecast last fall. Rob will now review ONEOK’s financial highlights, and then Perez will review ONEOK’s operating performance. Rob?
Rob Martinovich: Thanks John, and good morning everyone. ONEOK’s fourth quarter net income increased by 38% compared with the same period last year, driven by the strong performance of ONEOK Partners. For 2011, net income increased 8% versus 2010. Results in the distribution segment were lower due to higher employee related cost, while energy services had reduced results, due primarily to lower storage, marketing, and transportation margins, resulting from narrower seasonal spreads and natural gas price location differentials. ONEOK’s 2011, standalone cash flow, before changes in working capital, exceeded capital expenditures and dividend payments by $213.7 million. In 2011, ONEOK received approximately $333 million in distributions from ONEOK Partners, a 10% increase over 2010. ONEOK’s income taxes on the distributions from the ONEOK Partners LP units they own or deferred contributing to ONEOK’s strong cash flow. We also updated guidance for ONEOK in 2012. Net income is expected to be in the range of $360 million to $410 million, compared with its previous range of $355 million to $400 million. The updated guidance reflects higher anticipated earnings in the ONEOK’s Partner segment, offset partially by lower expected earnings in the energy services segment. In January, ONEOK completed $700 million public offering of 4.5% senior notes due 2022. We used the proceeds to repay amounts outstanding under our $1.2 billion commercial paper program and for general corporate purposes, providing additional capacity for various options, which may include repurchasing ONEOK common stock under our previously approved share repurchase program, purchase of additional common units of ONEOK Partners, and/or the payment of dividends to shareholders. Also in January, we declared a dividend for the fourth quarter of $0.61 per share, a 17% increase since January 2011. Since January 2006, the company has increased the dividend 13 times representing 118% increase during that period. Subject to Board approval, we also expect to increase the dividend $0.05 per share in July compared with our expectation last September of $0.04 per share. This increase is consistent with our goal to grow the dividend by 50% by 2014. ONEOK’s liquidity position is excellent. At the end of the fourth quarter, on a standalone basis, we had $842 million of commercial paper outstanding, $30.9 million of cash and cash equivalents; $347.7 million of natural gas and storage, $356 million available under our new credit facility, and our total debt-to-capitalization ratio was 45%. ONEOK significant cash flow and outstanding liquidity position continue to give us incredible financial flexibility. Now Pierce will update you on ONEOK’s operating performance.
Pierce Norton: Thanks Rob, and good morning everyone. Let’s start with our natural gas distribution segment. Fourth quarter and full year 2011 earnings were lower compared with the same period last year, because of higher operating cost, primarily the share-based compensation cost discussed on previous conference call. This segments portion of the 31 shares of stock awarded to employees in 2011 was $10 million. 2012 operating income guidance been updated to $223 million, reflecting the recent sale of the retail natural gas marketing business that has now accounted for as discontinued operations. Now a brief regulatory update. In Kansas, the Kansas Corporation Commission approved our application to increase the Gas System Reliability Surcharge by an additional $2.9 million effective January 2012. This capital recovery mechanism allows us to recover and to earn a return on safety-related and government mandated capital investments made between rate cases. Kansas Gas Service plans to file a rate case in mid 2012; it’s first since 2006. As part of that rate case, we are exploring rate design options that reduce our volumetric sensitivity. Oklahoma Natural Gas will make its annual performance base rates filing on or before March the 1st. We expect to request a modest increase in rates to recognize our investment in rate base and increases in operating cost. We continue our efforts to grow our rate base by investing in projects that provide benefits to our customers and our shareholders. In 2011, the distribution segment invested approximately $243 million of capital, including $25 million in automated meter reading devices. In 2012, we planned to invest approximately $270 million of capital, as in the past; this includes pipeline integrity projects, pipeline replacement, extending services to new areas, automated meter reading devices, and increasing the systems delivery capability. Now let’s turn to energy services. The lower earnings result reflects lower storage and marketing margins, due primarily to lower realized seasonal storage price differentials, and lower transportation margins, due primarily to narrower realized price location differentials, and lower hedge settlements in 2011. Full year 2011 operating income was $24 million. Location differentials are essentially non-existent between several market delivery points. Seasonal differentials remained narrow for 2012, with little or no price volatility, but have improved somewhat for 2013. We’ve reduced energy services 2012 operating income guidance to zero as this segment will continue to face extraordinarily challenging market conditions, because of the increase in transportation pipeline capacity in recent years, and an oversupply of natural gas from shale play. We continue to access how much transportation and storage capacity we need to service our premium customers, and look for opportunities to renegotiate transportation and storage rate. By the end of this year, more than 20% of our leased storage capacity and 15% of our leased transportation capacity will be up for renewal. And by 2015, more than 90% of the storage capacity and 75% of the transport capacity will be up for renewal, providing an opportunity to either renew them at lower market rates or cancel the leases. These explorations also give us additional opportunities to realign our capacity with customers needs and rebase our cost structure. We now expect to reduce our target leased storage capacity from 65 Bcf at the end of 2012 to 60 Bcf at 2015, and our leased transportation capacity from 1 Bcf per day at the end of 2012 down to 0.8 Bcf per day by 2015. John, that concludes my remarks for ONEOK.
John Gibson: Thank you, Pierce. Now I’ll ask Rob to review ONEOK Partners’ financial performance and then we will go back to Pierce to review the operating results. Thank you.
Rob Martinovich: Thanks, John. In the fourth quarter, ONEOK Partners’ net income more than doubled compared with the fourth quarter of 2010. For 2011, net income increased 76% versus 2010. Distributable cash flow increased 89% compared with the fourth quarter last year, resulting in a coverage ratio of 2.26 times. For 2011, distributable cash flow increased 61% compared with 2010, resulting in a coverage ratio of 1.66 times. The higher earnings and resulting higher coverage ratio were primarily due to strong NGL optimization margins from wider NGL price differentials between Conway and Mont Belvieu. Similar to the 2008 when commodity prices were record levels, we do not believe these wider NGL price differentials are sustainable long-term. In 2008, we utilized the incremental cash flow to finance a portion of our $2 billion capital investment program that was completed in 2009, and we finally utilized a portion of the incremental cash flow likewise in 2012, to help fund our current $3 billion capital growth program, reducing our debt and equity financing needs. At the same time, we are meaningfully increasing distributions to our unitholders. We increased the distribution 1.5 cents per unit for the fourth quarter and subject to Board approval expect to increase it another 2.5 cents per quarter in 2012, higher than the $0.02 per quarter increase we announced last September. With the strong performance of the NGL segment expected to continue in 2012, although at a lower level than we experienced in 2011, we’ve increased the partnerships 2012 earnings guidance by almost 10% to a range of $810 million to $870 million, compared with its previous range of $740 million to $800 million. We also estimate the partnerships 2012 distributable cash flow to be in the range of $925 million to $985 million, compared with its previous range of $845 million to $915 million. We updated our 2012 capital expenditure guidance to $2 billion to reflect our latest forecast. This breaks down to $1.9 billion in growth capital and $109 million in maintenance capital. We have hedges in place to lock-in margins on our expected equity volumes in the natural gas gathering and processing segment, where a portion of our margin is derived from the receipt of commodities. Our news release contains updated information on these hedges. Our 2012 natural gas hedges have increased to 73% from 42%, while our 2012 NGL hedges have increased to 72% from 43%. As is our practice, we continually monitor the commodity markets, and will place additional hedges as conditions warrant. At the end of the fourth quarter, the partnership had $35.1 million in cash and no commercial paper or other short-term borrowings, a debt-to-capitalization ratio of 53%, and a debt-to-EBITDA ratio of 2.9 times. Now Pierce will review the partnerships operating performance.
Pierce Norton: Thank you, Rob. As John said the partnership had an exceptional fourth quarter. Operating income almost doubled compared with the same period last year, driven primarily by higher margins in the natural gas liquid segment from wider NGL price differentials between Conway and Mont Belvieu, and increased fractionation and transportation capacity available for optimization activities. Earnings also increased as a result of higher isomerization margins in the NGL segment, and solid performance in the natural gas gathering and processing segment from higher natural gas volumes processed. While we benefited from these favorable NGL price differentials, and higher NGL and condensate prices, our base business continues to grow. In the fourth quarter, natural gas volumes processed increased, as did NGL volumes gathered, fractionated, and NGL purity projects -- products distributed. More on that in a moment. The natural gas gathering and processing segments fourth quarter financial results were higher due primarily to higher natural gas volumes processed, specifically in the Williston Basin and higher net realized NGL and condensate prices. We decreased this segments operating income guidance for 2012 to $247 million, compared with the $297 million we provided last September, to reflect lower commodity price assumptions. In 2012, we expect processed volumes to be up 24% and gathered volumes to be up 15%, both driven our investments in the Williston Basin, the new Garden Creek plant that went into service in December, and the Stateline I plant that we expect to be in service sometime in the third quarter of this year. The natural gas pipeline segment’s fourth quarter results were lower compared with the fourth quarter last year, due to lower transportation margins from narrow regional natural gas price differentials that decreased contracted capacity on Midwestern gas transmission and interruptible volumes across several of our pipelines. For 2011, equity earnings from Northern Border pipeline increased by 12% compared with 2010, as it maintained it’s position as a low cost provider in transporting Canadian source supply to markets in the Midwest. Northern Border is substantially contracted for long haul capacity through March 2013, and has been successful capturing three years or longer extensions, as current contracts expire. We decreased this segments 2012 operating income guidance to $135 million, reflecting a lower assumed natural gas price as it relates to our retained fuel position. Almost 90% of the contracted capacity on our wholly owned top-line serve endusers directly such as natural gas distribution companies and electric generators that need the natural gas to operate their businesses, regardless of regional price differentials. In spite of narrow price differential environment, this business due to the totally contracted capacity continues to generate stable earnings with 82% of our pipeline capacity and 100% of our storage capacity contracted under firm long-term contracts. Our natural gas liquid segment continued to benefit in 2011 from record wide NGL price differentials and having more fractionation and transportation capacity available for optimization activities. This segment also benefited from higher isomerization margins due to wider price differentials between normal butane and isobutane. Successful contract negotiations, associated with our exchange and storage services activities also helped earnings. We fractionated 10% more volumes during the fourth quarter 2011 compared with the same period last year, averaging 583,000 barrels per day, which includes volumes fractionated at the target facility from the fractionation services agreement that began during the second quarter in 2011. NGLs transported on our gathering lands were up 17% during the quarter compared with the same period last year, averaging 473,000 barrels per day during the quarter, as a result of increased volumes gathered on the Arbuckle Pipeline and in the Mid-Continent. Arbuckle Pipeline volumes are now reaching more than 200,000 barrels per day. Additional pump stations have been added as a part of the Arbuckle expansion that will increase capacity to 240,000 barrels per day in the early second quarter of 2012. We significantly increased our 2012 operating income guidance for this segment to reflect the wider NGL price differentials. For 2012, we have updated the Conway and Mont Belvieu ethane price differential to average $0.32 per gallon compared with $0.12 per gallon provided in September. While the current ethane price differential has softened to levels below $0.32 due to a number of short-term maintenance outages at U.S. Petrochemical plants, we anticipate ethane differentials will increase as the Petchems return to normal operations during the second quarter. Although we only provided expected Conway to Mont Belvieu differentials for ethane in our guidance, our opportunity to capture optimization margins is not solely based on the ethane differential. Our well positioned and vertically integrated assets can also benefit from Conway to Belvieu differentials, from the other NGL products such as propane and butane. Additionally, we are also expecting to utilize less capacity for optimization activities in 2012 compared with 2011, attracting some of the capacity under fee-based long-term agreements with customers. We have a planned maintenance turnaround at our Mont Belvieu fractionator MB I scheduled for May. During this turnaround, raw NGL volumes that were currently being fractionated at MB I either will be sent to other fractionators, and/or placed in storage. The cause of the events planning that goes into the turnaround, we expect this turnaround will not substantially affect our customers operations. John that concludes my remarks.
John Gibson: Thank you, Pierce. Now Terry will give you an update on ONEOK Partner and growth projects, which I’m pleased to say they’re on time on budget and continue to attract additional supply commitments and discuss with you our view on current and longer-term market dynamics. Terry?
Terry Spencer: Thanks John, and good morning everyone. This morning I will discuss our outlook of the NGL markets and close with a status report on our growth projects. On the demand side, the petrochemical industry continues to find ways to consume more ethane, due to its strong price advantage versus oil base feedstocks. In the short-term, several petrochemical facilities are currently conducting maintenance turnarounds reducing the immediate need for ethane, which is primarily responsible for the current lower ethane prices in the Mont Belvieu market. We also understand that several of these petchems are in turnarounds to also increase their ethane cracking capability. In addition, the price weakness is exacerbated by the petchems that are down for maintenance, filling ethane into the market. The lower natural gas price environment also puts downward pressure on ethane prices. There has been some concern about the impact of lower natural gas prices on our businesses. On the supply side, rigs are continuing to move away from dry gas regions and producers are focusing specifically on crude oil and liquids rich plays such as the Bakken, Cana-Woodford, Woodford, Granite Wash, Niobrara, Mississippi and Lime, and the Eagle Ford Shale. Fortunately for us, our assets are well positioned in all but one of these areas. From what we have seen in drilling schedules, we have been provided; we do not expect any material impact on volumes that supply our plants or systems that serve these liquid rich regions. With oil prices showing little signs of pulling back, the weaker natural gas prices help to maintain or further widen the ethane to crude ratio improving the U.S. petrochems industries competitive position globally, and increasing demand for more NGL feedstock, which benefits our NGL business. Once these planned turnarounds are completed in the next few months, demand from the petchems for ethane and the price of ethane should strengthen particularly in Mont Belvieu. Some experts are projecting ethane demand will reach new record highs later this year and will continue to grow over the long-term, especially with the announcements of petrochemical plant restarts, expansions, and development of new world class petrochemical plants. As a consequence, we expect NGL fractionation capacity to remain tight, but gradually become more available as new fractionators come online over the next few years. As NGL growth continues at a rapid pace, we believe that over the next couple of years there will be some period oversupplies of ethane as new NGL infrastructure brings additional NGLs to market. As we approach, and move through the 2015 and 2017 timeframe, we believe supply and demand will remain relatively balanced, as new petrochemical plants and expansions come online. Now an update on our projects. First, our Bakken projects are expected to resolve some of the challenges producers are facing in the Williston Basin, in particular, the flaring of NGL rich natural gas. Our first of three new processing plants in the Bakken; Garden Creek was completed in late December. The Stateline I plant is expected to be in service in the third quarter of this year with completion of the Stateline II plant following in the first half of 2013. The Stateline natural gas processing plant projects remain on schedule and on budget. Oil production in the Bakken continues to grow rapidly, and oil transportation infrastructure continues to be developed to meet producer needs, thus allowing the current pace of drillings to continue. As you all are aware, drilling economics in the Bakken are primarily driven by crude oil prices and not significantly impacted by the current lower natural gas price environment. The 500-plus-mile 60,000 barrel per day Bakken NGL pipeline, along with the expansions of the Bushton fractionator and Overland Pass Pipeline are either on schedule or ahead of schedule and on budget. We have acquired more than 85% of the right away needed for the Bakken NGL pipeline. Engineering and design continues to move along and steel pipe and many of the required materials have been purchased. Of special note, the Bushton fractionator expansion is now ahead of our original schedule, and is expected to be completed sometime in the fourth quarter of 2012, compared with our original plan to complete it in the first half of 2013. Let’s turn to our Mid-Continent and Gulf Coast projects. The expansion of our Mid-Continent to Mont Belvieu NGL distribution pipeline Sterling I is done, adding 15000 barrels per day of additional capacity to ship purity NGL products south to Mont Belvieu. The construction of 230 miles of NGL gathering pipelines in the Cana-Woodford and Granite Wash is on schedule with completion expected early in the second quarter of 2012 bringing 75,000 to 80,000 barrels per day of raw NGL through our existing system in the Mid-Continent and the Arbuckle Pipeline. The expansion of Arbuckle to 240,000 barrels per day from 180,000 barrels per day by installing additional pump stations is well underway with incremental barrels already being transported, as Pierce noted, and we expect all the pump stations to be completed and in service also in the second quarter of 2012. The 570-mile Sterling III pipeline in the 75,000 barrel per day MB II fractionator are progressing as planned. We have increased our supply commitments for both projects with approximately 75% committed on the 193,000 barrels per day Sterling III, that’s the level of supply commitment we target for this project to achieve its required returns. All the capacity is committed on our 75,000 barrel per day MB II fractionator. Our commercial team has done a terrific job securing these supply commitments well before these assets go into service in 2013. We continue to develop and evaluate a lengthy backlog of natural gas and NGL related infrastructure projects, including investments in processing plants and NGL fractionation and storage facilities. This backlog totals more than $1 billion and it’s growing. Some of these investments will create additional redundancy and reliability and approve our connectivity to our petchem customers, while others will provide the critical infrastructure that producers and processors need to get their products to market. As we’ve done in the past, we will announce the projects, when we have sufficient producer and/or customer commitment to make them economically viable. John, that concludes my remarks.
John Gibson: Thank you, Terry. Before we take your questions, I’d like to provide you with some context on our 2011 results, our updated 2012 guidance, and our future growth. While Terry has provided you with a detailed rundown of our $3 billion in growth projects, it’s important to keep in perspective these current projects, and the $2 billion of projects we completed in 2009. While there has been a lot of current detention on the widening NGL differentials between the Mid-Continent and the Gulf Coast, short-term ethane price softness, and declining natural gas prices, let’s not lose sight of the fact that the assets we’ve built and are building, increase our ability to add volumes to our system, both natural gas and natural gas liquids, and to collect a fee to gather process, fractionate, store, and transport these commodities for producers, processors and customers. These services provide us and our customers and investors with sustainable long-term value regardless of short-term moves and differentials in prices. It's the incremental earnings from these projects, now in service and now being built that give us the ability to grow our earnings at ONEOK and ONEOK Partners by an average of approximately 20% per year for the next three years, to increase distributions to ONEOK Partner unitholders this year and beyond and to increase the ONEOK dividend 50% by 2014. While internal growth may not be as exciting or as headline grabbing as an acquisition, internal growth project opportunities provide our investors with far better returns than if we were to buy earnings at today's prices. And we're not done. As you’ve just heard, our internal growth backlog is in excess of $1 billion and growing, providing us with more earnings growth potential. In closing, I would like to again thank our employees who work safely, reliably and environmentally responsibly every day to operate our assets, creating exceptional value for our investors and customers. We never forget that our success as a company depends on the efforts of all of our employees, and I along with the rest of our management team appreciate their efforts. Olive, we are now ready to take questions.
Operator: (Operator Instructions) We will take our first question from Stephen Maresca with Morgan Stanley.
Stephen Maresca - Morgan Stanley: Thanks for the details and colors always. First question, Terry, you mentioned maybe it wasn’t Terry, the frac going down for maintenance in the second quarter and diverting the volumes to another facility, is there a capacity in other facilities to send these volumes to? And then the subset of that, are you hearing that there is another -- we are hearing that there is another fractionation facility that maybe down for maintenance as well?
John Gibson: Pierce?
Pierce Norton: Steven, this is Pierce. The way I would answer that is that our customers have access to other's fracs, as well as storage. So, don't think there is going to be any material impact on that. The short answer to your question is yes, they can divert to other storage, they can divert to other fracs, and we can also put it on our own storage, plus put it in our own fracs up in the mid-continent.
Stephen Maresca - Morgan Stanley: Okay. And you heard -- are you aware of any other facility having to go down for maintenance?
Pierce Norton: There are some others that are going down, I think one others, but again, we think that will be staggered. Ours is going to be in May. We do have a partial owner Bushton fractionator, but all that means is that we can still process approximately a half through that facility while it’s down, but they won’t be down at the same time.
Stephen Maresca - Morgan Stanley: Okay. On the differential, how much impact will possibly the Kinder line, the EP mix that -- the co-gen line starts on April 1 from Conway to Sarnia? Is that factored in at all to kind of your $0.32 estimate of a spread for this year, do you think it has a material impact on the supply in Conway?
Pierce Norton: We really don't. We are aware of it, but we did our analysis, we really did view it is having a significant impact, I mean the big driver is going to continue to be the strong supply build and then of course, the strong demand that we are seeing at Bellevue and of course in the short-term we are of course being impacted by these petchem turnarounds.
Stephen Maresca - Morgan Stanley: Okay.
Pierce Norton: Really, in our view, the spread no, not a significant impact.
Stephen Maresca - Morgan Stanley: Okay. Final question for me, I mean, what do you think is an estimate of the possible over supply in Conway in terms of -- I don’t know, how you would think about in terms of number of barrels or when it gets alleviated, is it through once drilling three comes online that you think you see the material normalization of it?
Pierce Norton: To give you a specific number on the supply of Conway, we would probably not -- would not be accurate, I couldn’t give you a specific number, what I can tell you is the capacity, the frac capacity that we are filling, the capacity that’s being built is about a half a million barrels a day. So that in all of that capacity will be filled and all of that product will flow through pipelines, some of which will come from Conway, some of which will come from West Texas to fill that capacity, so that will give you kind of a bracket of -- if you don’t try narrow it down to Conway, that will give you a sense of what you might see, okay? So that answers your question?
Stephen Maresca - Morgan Stanley: Yeah.
Pierce Norton: Or at least be a sense of the order of magnitude, the barrels we were talking about?
Stephen Maresca - Morgan Stanley: Yeah, absolutely. And then I guess final one, with all those coming in the Gulf Coast, I mean do you see the needs for more frac above and beyond what's out there announced from you guys and others and other issues to building more frac right now whether we've heard some issues about being harder to get permits nowadays? And that’s it for me.
Terry Spencer: Yeah, we absolutely do see the need for more frac capacity, be premature for me to tell you what that estimate is, but it’s pretty significant. We think there will be more, I mean we have the possibility and we've indicated this, the possibility of announcing a project of our own and there have been there -- we are hearing that others that may come down the pipe. But certainly, there is room for more and there is going to be a need for more frac capacity and it’s going to be primarily at Belvieu.
Operator: Thank you. Our next question comes from John Edwards of Morgan Keegan.
John Edwards - Morgan Keegan: Just one macro question. You were talking about the supply demand balance being roughly in balance 2015 to 2017, so just, if you have any thoughts about when you think to start to see oversupply maybe how much. And thoughts you could share in that regard?
Terry Spencer: Sure, as I indicated in my comments, we will see over the course of 2012 and 2013, we will see periods of time albeit short periods of time we will have some oversupply of ethane, and we may have periods as we’ll see coming out these turnarounds and might see some undersupply. But as we move into that, as I’ve indicated in that 2015 to 2017 timeframe, we said the markets will be balanced, but I think there will be a bias to be somewhat undersupplied during that time period as these new petrochemical plans come online. Does that help you?
John Edwards - Morgan Keegan: Yeah, so I guess sounds like then you think it will be a little bit oversupplied in 2014?
Terry Spencer: Yeah, we don’t think it will be a major -- actually as you move in 2014 timeframe, it will be fairly balanced, okay, but it will be 2012 and 2013 that we think there will be as I’ve indicated, there will be periods we’re oversupplied, but not really significantly and for not in extended duration.
Operator: Thank you. Our next question will come from Carl Kirst with BMO Capital.
Carl Kirst - BMO Capital Markets: Thank you. Good morning everybody, nice results. I guess, I’ve got a question more looking perhaps at new areas and one of the things that as we've certainly been seeing all the activity for instance in Canada obviously a couple of big purchases with the BP assets and then Provident. But the conversation kind of going on up there as far as whether or not, over the next five years, for instance, the province of Alberta does that get to be short liquids. A few years ago you guys had a possible project that would I guess compete against Southern Lights as far as bringing liquids up to Canada, do you see anything like that kind of percolating back up by chance?
Terry Spencer: Carl, I’m trying to recall specifically a project where we were competing with Southern Lights. I know our North system that comes out of Conway and services the Midwest was actually a supply, a supplier supply point on Southern Lights. So it actually worked with enhancing that project. I think to answer your question as far as investments in Canada or other investments like that certainly we’re going to be very interested in participating in those kinds of projects, either acquiring assets or building assets. Canada is one that well it’s a target rich environment and there is lot of activity, its fertile ground. It’s an area quite frankly we’re not familiar with doing business there. So we would have -- we would be apprehensive a bit to, and to your point as it relates to BP assets, Provident assets in Canada, we would be very cautious moving into Canada.
John Gibson: Carl, Terry, I remember the project Carl was talking about and that was during that timeframe we were looking at whether or not possibly taking our liquids or not our liquids, making access available for our process just to take the liquids north to Canada or south all the way to Belvieu. We were looking at an alternative and I think the company came to the view that we could provide more value to the producers in the Bakken in particular, by providing them access to Mont Belvieu, as opposed to the Canadian markets where they don’t pay as much for the liquids.
Carl Kirst - BMO Capital Markets: That’s very helpful and it’s been the future we see you guys sort of potentially extending then east to Utica, I guess it would be the same sort of access to the Mid-Continent and Mont Belvieu that would primarily be the most benefit there?
John Gibson: Yeah I think -- that is what.
Terry Spencer: Absolutely, process is was as access to Belvieu Mid-Continent and certainly that North System that I mentioned earlier that serves the Midwest and Chicago area would give us a stepping stone into that play and we’re certainly looking at that.
Carl Kirst - BMO Capital Markets: Great. And then one other question if I could on OKE on energy services. Kind of understanding what it is, but given how flat differentials are right now, both bases I mean as far as transportation and storage, I’m understanding we have this midpoint roughly around the break-even. Are there any hedges to be aware of that are propping that up or are we basically basing out here do you think?
John Gibson: Did you say basing out or phasing out?
Carl Kirst - BMO Capital Markets: Basing. B-a-s…
John Gibson: Yeah, and I think b-a-s-i-n-g, basing, I would characterize it as that if you I mean Pierce and Pat McDonie have got a plan to reduce our capacity both transportation and storage under contract. I think, I know Pierce shared an information with you. So overtime, from a cost perspective those are going to change. The segment is just facing a really tough, tough market right now and we do have storage and transport cost that as we’ve indicated in previous calls we are obligated in an honor to pay.
Carl Kirst - BMO Capital Markets: Great. Thanks guys.
John Gibson: Yeah, Pierce.
Pierce Norton: Well the only thing I’m looking at, the only thing I’ll add to that Carl is that we’re about 52% hedged on storage for 2012 and about 27% on our transportation book their. So that might give you a little sound.
Carl Kirst - BMO Capital Markets: Yeah, and I guess maybe the question that I was ultimately trying to get to, are those hedges sort of significantly different than what sort of we’ve seen in the last six months or kind of market indications meaning that once those rule were not sort of stair stepping down further into adverse market conditions are we or where are we?
John Gibson: Well, I mean when you compare to the positions that we’re on in 2011, and we said this in past conference call a lot of this positions were put on several years ago. We hadn’t had as much opportunity to go out into the ‘12 and ‘13 market and get those same positions. So they are somewhat less than what they have been in the past.
Dan Harrison: If you could limit your questions to one so that we can get everyone in that would be helpful.
Operator: Thank you. Our next question comes from Yves Siegel with Credit Suisse.
John Gibson: Oh boy, did you here that, Yves?
Yves Siegel - Credit Suisse: I really appreciate the timing of that suggestion. So in good faith I’ll honor that. Just from a big strategic overview, the fact that you’ve done so well in liquids. Is there a greater sense of urgency today to look for another leg to diversify the business away from liquids?
John Gibson: I don’t think so. There is always in our organization a heightened sense of urgency to look for that next opportunity. So I don’t want you to think that we’re sitting here focused just on gas and gas liquids. We, as we’ve said many times before, looking at other opportunities. But for us to get it back to clearly understanding what our competitive advantage is how well that could be integrated into our business, and whether or not by doing so those investments create long-term sustainable growth opportunities. So with that you don’t see us -- we‘re not going to be bouncing around like well, okay, now we’re going to get into this business or now we’re going to get into that business but I think it’s obviously fair to say we always have a high sense of urgency to look further opportunities and they’re out there.
Yves Siegel - Credit Suisse: Got it. So, the way I -- just a follow-up question to that one question rule. In all seriousness, you dramatically changed the -- your view on the spread between Conway and Mont Belvieu. Could -- did the market change that much or you just being ultraconservative when you came out with that initial guidance?
John Gibson: Well, that’s a good question is the sub question to your original question. The couple of points, one is we presented that spread to our Board for approval in the 2012 plan in September. As we gathered information in the June, July, August timeframe, and try to look forward, we had capacity coming on in our buckle. We had a traditionally, a sense in our gut that buying falls off in the fourth quarter. We had just a number of events that cause us to believe and you could also throw in there an element of conservatism and that we did necessarily believe that the, we don’t believe that these high spreads are sustainable over long-term. So we brought it back to where we thought it would average over the year. And then, as we moved into the winter, and we saw certain things occur it became obvious to us that those dynamics in the marketplace were going to result in $0.12 or $0.10 spread that it was going to be higher. And so we have subsequently gone back and readjusted not only that spread but also our view on gas prices and NGL prices. So it’s a matter of better knowledge with time and as the market gives you more transparency and deal with what’s happening.
Operator: Thank you. Our next question will come from Louis Shamie with Zimmer Lucas
Louis Shamie - Zimmer Lucas: Just a quick question. I was wondering about your contract mix on the GNP side how that has changed. What percentage of your volumes were under key pole contract in the fourth quarter?
Pierce Norton: Louis, this is Pierce. Key pole right now at the end of the three months of December 31, was about 6%, fee bases about 32% and the POP was about 62%. The same that it probably is worth noting there, we did have two contracts within our GNP segment one of them was a key pole contract that converted over to POP and the other was the contract that actually was a POP contract that converted to fee. So if you compare those three months ending December 31, that’s on page six of our earnings release, to the year end numbers you will find a little bit of difference and that’s what is causing some of that movement around as those two contracts.
Louis Shamie - Zimmer Lucas: Got it, so looking forward to 2012 what’s the mix expected to be?
Pierce Norton: Yeah, we would expect to see relatively the same.
Operator: Thank you. Next we will hear from Helen Ryoo with Barclays Capital.
Helen Ryoo - Barclays Capital: My question is regarding your, I guess it is related to the spreads question that came up couple of times but just looking at your NGL operating income guidance. You are guiding $100 million down 2012 versus 2011, yet your spread assumption is about $0.04 higher 2012 versus 2011 and you did indicate that you will be losing -- I guess using reduced capacity for optimization. I just wanted to clarify that -- it seems like you are going to use quite a bit lower capacity for optimization since you have been what your guidance implies is that a fair assumption?
John Gibson: That’s a fair assumption.
Helen Ryoo - Barclays Capital: Okay. And it will add something you will continue to reduce going forward, going into 2013 and 2014?
Pierce Norton: Yes, it’s what we refer to as converting that to fee based business.
Helen Ryoo - Barclays Capital: Okay. And as far as the spread assumption in the outer years in your Analyst Day conference you did talk about I think $0.09 to $0.13 kind of spread. Do you still see that happening by 2013 - '14 that you will see a pretty big fall off year-over-year?
Pierce Norton: Yes, particularly given the comments, which Terry made earlier about supply and demand that’s ethane in particular.
Operator: Thank you. Our next question will come from Selman Akyol with Stifel Nicolaus.
Selman Akyol - Stifel Nicolaus: Quick question as it related to your comments regarding the backlog, I can’t believe you characterize some of the projects as being critical infrastructure and some of it is being redundancy. Can you talk about I guess, the difference in profitability between those two, and is there anymore color you can shed on the mix?
Terry Spencer: Yeah. In terms of profitability difference of those two, you will really don’t, we really don’t look at it that way. Many of these projects will create some redundancy. Okay, so to do an economic analysis on just the redundant feature of that project is not how we look at it. All these projects and the assets that they serve its all integrated, okay. And so, redundancy will come naturally on many of these assets i.e., like the Sterling three pipe line project, that we have been talking about, inherent in its operation provides a level of redundancy as we already have multiple pipelines that serve the gulf coast. So there is an example of that.
Operator: Thank you. Our next question will come from Michael Blum with Wells Fargo
Michael Blum - Wells Fargo: Hi, good morning, just a quick one for me, just I guess following up on Louis' question, in the fourth quarter your NGL sales and condensate sales volumes were down slightly looking at fourth quarter 2011 versus ’10. Does that relate to that slight shift in couple of those contracts or is that something else going on there with the GPM or GAS? Just trying to understand that?
John Gibson: Yes Michael, that is because of the shift from the key pole to the COP and the POP, the fee.
Operator: Thank you. Our next question will come from James Jampel from HITE.
James Jampel - HITE: Hi, thanks for taking the question. If we go out like a year from now, and we are looking and having a call, and we see -- I imagine we are going to see, three segments that booming OKS segment and LBC segment and continuing struggling energy services segment. If this imagined scenario a year from now, what would have to change out there for not to be having a similar conversation a year now, for you to be in different businesses or having done the transforming transaction?
John Gibson: Well, I can’t tell whether your question is specifically addressed to energy services, or whether you’re asking a question about whether or not there will be a fourth leg or different three legs, I’m sorry, if you could clarify the question, I’ll try to answer it.
James Jampel - HITE: It’s really both. I mean there were discussions in the past about a transforming transaction and that seems to have faded in the wayside. So I mean, I guess I’m of the view that there is tremendous value be unlocked the OKE level on before if we’re not having exactly the same discussion, a year from now than we’re having today?
John Gibson: Okay, well then give you a little bit color then. As it relates to transforming transaction, we obviously haven’t made one, but in my comments and I’ve also talked about the fact that we’ve created more value for our shareholders and our unitholders by the now $5 billion worth of investments and infrastructure both in the gas and the gas liquids business. As I said we can create more value investing in those projects and we can going out and buying earnings at today’s prices. So a transforming transaction which I have in the past compared to when we acquired the coke NGL assets, when we acquired the gathering and processing assets from Dynegy and Kinder Morgan. When we acquired the Bushton plant NGL storage with Kinder Morgan. Those when we look back, although they may not be significant in size, from a dollar perspective they were significant and they gave us the opportunity to then and invest more money as it relates building that infrastructure. So we, be clear, are not driven to do a transforming transaction so that we can go to the marketplace to say we’ve done one. We will continue to invest where we see opportunities to create more value as it relates to the future of ONEOK and what ONEOK might look like; it’s hard to argue with success. We’ve been successful, we look at opportunities as I indicated to ease, we look for opportunities and other commodities where we think we can apply the same capabilities, we have, we also look as an organization as to where we can increase our capabilities, so that we can move into other market. It’s all an iterative process that we apply all this -- all these techniques to. But I can’t tell you, a year from now whether we will have another school. There has been years where energy services has made $230 million and gathering and processing barely broke-even. But our commitment is for long-term. So if we’ve this discussion a year from now, it will be heavily influenced by what we perceive to be reality between now and then. Did that help you, at all James?
James Jampel - HITE: Yes absolutely and so where the reality for energy services you think is a brighter one?
John Gibson: Yeah, as Pierce laid out in his comments, he has a plan for reducing transportation and storage capacity and we’re renegotiating those rates that are under contract reduces cost. And then we don’t believe overtime that price volatility is gone forever. We don’t believe overtime that basis differentials gone forever. And we don’t believe overtime the seasonal spreads are gone forever.
James Jampel - HITE: Okay. Thank you.
John Gibson: Yes sir.
Operator: Thank you. We will move on to our next question in the queue from Elvira Scotto with RBC Capital Markets
Elvira Scotto - RBC Capital Markets: Just a quick one from me, can you talk a little bit about the thought process behind the increase in the distribution growth guidance for 2012, specifically is that increase tied to the strength that you’re seeing in the NGL segment, and optimization. And then, if so, how do you think about balancing distribution growth versus retaining some of the excess cash flow from these activities in order to fund future growth? Thanks.
John Gibson: Well Rob can -- is probably the best person to take you through the logic.
Rob Martinovich: Good morning, Elvira. I think, as we looked at our guidance that we gave in September with the expected performance of the partnership at that point of time and then as we updated it, as Terry and Pierce talked about with updated commodity prices and spreads, it felt appropriate that that the distribution be increased. And it’s always a balance trying to target that coverage ratio that we’ve talked about before in the 105 to 115 but be prudent with regards to long-term trends and where we see the business performing. So we felt that it was appropriate adjustment to reflect the increase in the partnership and yet the same time be mindful that as the comments that have been made today that that long-term view on the optimization spread is not sustainable between Conway and Mont Belvieu and that we will be able to use that cash flow appropriately to partially fund our growth projects.
Elvira Scotto - RBC Capital Markets: Thank you.
Dan Harrison: Okay, well thank you all for joining us. This concludes our call. Our quite period for the first quarter starts when we close our books in early April and extends until earnings are released after the market closes on May 1, followed by our conference call at 11:00 a.m. Eastern, 10:00 a.m. Central on May 2. We will provide with details on that conference at a later date. Andrew Ziola and I are available throughout the day to answer your follow-up questions. Thanks for joining us.
Operator: Thank you. And again, that does conclude our conference for today. We thank you for your participation. You may now disconnect.